Operator: Thank you for standing by, and welcome to the Lennar's Third Quarter Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I will now turn the call over to Mr. David Collins for the reading of the forward-looking statement.
David M. Collins: Today's conference call may include forward-looking statements that are subject to risks and uncertainties relating to Lennar's future business and financial performance. These forward-looking statements may include statements regarding Lennar's business, financial condition, results of operations, cash flows, strategies and prospects. Forward-looking statements represent only Lennar's estimates on the date of this conference call and are not intended to give any assurance as to actual future results. Because forward-looking statements relate to matters that have not yet occurred, these statements are inherently subject to risks and uncertainties. Many factors could cause Lennar's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These factors include those described under the caption Risk Factors contained in Lennar's annual report on Form 10-K most recently filed with the SEC. Please note that Lennar assumes no obligation to update any forward-looking statements.
Operator: I would like to introduce your host, Mr. Stuart Miller, CEO. Sir, you may begin.
Stuart Miller: Okay, good morning, and thank you all for joining us for our third quarter 2011 update. As always, I'm joined this morning by Bruce Gross, our Chief Financial Officer; Diane Bessette, our Vice President and Treasurer; and David Collins, our Controller. Additionally, Jeff Krasnoff, Chief Executive Officer of our Rialto segment, is here to participate as well. Jon Jaffe, our Chief Operating Officer; and Rick Beckwitt, our President, are available to participate by phone for the question-and-answer period, they don't happen to be here in Miami today. I'm going to begin with some brief remarks about the current housing market in general. Jeff will update Rialto's progress, and Bruce will provide detail on our numbers. And then of course, we'll open the phone line to your question. As always, I'd like to request that in our Q&A period, everyone please limit to just one question and one follow-up, so that we can be as fair as possible to everybody. In the context of what continues to be a challenging U.S. housing market, we're pleased to report our sixth consecutive quarter of profitability as we continue to position Lennar for future success. As noted in our press release, all of our business segments, Homebuilding, Financial Services and Rialto, were profitable in the quarter in spite of significant challenges. Bruce will review the numbers in a few minutes. Throughout our third quarter, we continued to see evidence that the consumer is beginning to return in earnest to the homebuilding market. Although sales price and pace are still under pressure, traffic trends have continued to improve and real, traditional primary purchasers with a real desire to purchase are showing up. The combination of home prices that have dropped to attractive levels across the country, together with interest rates on 30-year loans that are at historic lows, has made the prospect of home ownership both compelling and widely affordable. In addition, increases in rental rates that consumers are feeling and seeing in many markets are driving people to consider the stability of home ownership as it relates to housing costs over years. Finally, the millions of Americans that have either moved home, found a roommate or otherwise postponed forming a new household are beginning to consider their living accommodations, and options abound today and they are affordable. Demand remains constrained, however, by the availability of financing and general consumer confidence. Mortgage financing is still only available to the most creditworthy purchasers and an already skittish customer is being driven away from the purchase by a burdensome and invasive mortgage qualification process together with a mountain of paperwork and never-ending re-verifications. There has been a clear overcorrection that has taken place in the lending market as the ability for buyers to actually get loans is limited at best. The government remains the primary financing resource in the housing market. FHA, VA, Fannie and Freddie are the primary drivers of the housing finance market, but are constrained by government oversight and mandate that is risk adverse and primarily focused on the preservation of existing capital. Additionally, there is a prevailing desire in Washington to have the government exit the mortgage finance business. This combination of drivers is shrinking available capital needed for demand to turn into actual sales. We reviewed our last 18 months of FHA, VA and Fannie and Freddie loans, and found that the average FICO score was in the 700 range, while the average rejection was in the 650 range. Today's rigid risk matrix is severely limiting access to the market for the many customers who have a down payment, have a job, have acceptable credit and are good credit risks in a normalized environment. And while there is, of course, virtue in being risk adverse, the logical extension of where we are is that we make only one loan for $200,000 to Warren Buffett and we will never have a default. Unfortunately, we will also not have much of a housing market. Loan limits for government agencies are set to be reduced on October 1 of this year and other actions continue to hamper the expansion of credit availability. Traditional lenders are constrained by the threat of putbacks in an uncertain regulatory environment. A private securities market has not reemerged to provide needed capital for finance and likely won't become a factor until the playing field of risk identification and the legal consequence of a loan and mortgage are resolved. Initial Private Label securities are populated with loans that are of exceedingly high credit standards. Today's ultraconservative home finance environment has been a limiting factor in the normalization of demand and confidence for both new and existing homes. Free market forces are beginning to work the way they're supposed to, but they are constrained. Fortunately, there is a growing awareness in the government today that the economy and jobs are not likely to recover without a recovery in housing. I've spent a considerable amount of time recently with members of the government and am seeing a change in attitude and focus. As home prices have continued to slide and foreclosures have risen, there's a growing awareness that restricting credit at this time is not prudent. Policies to date have not worked, and we're starting to see the government reach out to a broad spectrum of industry thinkers for ideas and information on how to stabilize and stimulate housing. It seems that this is part of a process. It is slow and frustrating for sure, but trial and error will ultimately give way to the right answers. I believe that the lending log jam will ultimately be unlocked. And as lenders begin to lend again to appropriate underwriting standards, and they will, demand will be unlocked and in turn, increased sales, together with positive press, will create much-needed urgency and unlock consumer confidence in the housing sector. While the market seeks equilibrium, at Lennar, we remained focused on maintaining profitability at current levels of operation. We have sharpened our focus on our core Homebuilding business given the current economic conditions while we position for an ultimate recovery. We've just completed our third quarter operations reviews with our regional presidents. Rick and Jon have gone through the operations and business plans of each of our divisions and reviewed the performance and position of each division and their respective markets. We remain optimistic about the future of the housing market in general and about our business in particular. In almost all of our divisions, we're continuing to find that there are pockets of activity that are strong, and we've continued to make strategic purchases of new land and communities in areas that continue to produce strong margins for our homebuilding operations. These purchases are holding us in good stead today and are preparing us for even better performance as market conditions improve. In order to drive profitability in current market conditions, we've gotten each of the most important components of our operating business working well and efficiently. Our product research and reworked product offerings are enabling us to compete favorably with the existing home market and foreclosures as they are our biggest competitors in today's market. Our efficient cycle time enables us to be less reliant on standing inventories for sale and our careful negotiation of construction costs is helping us drive value-oriented sales prices which are required for sales in these market conditions. Our low inventory approach to sales and starts is working to help maintain our industry-leading margins and our carefully managed overhead levels are in line with our current volume and are working to drive a positive net margin. Our Lennar's Everything's Included marketing platform is highlighting our value-oriented offerings to our customers, and our strategic land purchasers, driven in large part by leveraging our Rialto relationships, are working to position us with low-cost lands to drive higher margins. And of course, most importantly, our extremely strong management team and associates that have driven this company through the best and the worst of times continue to be the driving force that keeps our company ahead of the market and positioned for success. Alongside Homebuilding, Lennar's Financial Services segment continued to improve its operational performance as well. Just as our Homebuilding operations have right-sized to current volume, our Financial Services group has worked hard to trim overhead in order to contribute profitably at today's volumes. Similarly, an increase in volume in the Homebuilding segment will translate into strong operational leverage for our Financial Services segment as well. And Bruce will give you some additional detail on the Financial Services segment. Our Rialto program continues to complement our Homebuilding and Financial Services activity as it also adds to our overall profitability. Except for the mark-to-market adjustment reported in the PPIP program this quarter, Rialto continues to show very strong operational performance and profitability as we continue to build that program. In the third quarter, we continued to add to our investment pool by purchasing approximately $380 million of assets or approximately $170 million of equity primarily through our Rialto opportunity fund. Additionally, we've expanded the size of that fund from approximately $370 million last quarter -- reported last quarter to almost $600 million including at closing last week. This affords us a great deal of capital to pursue the many opportunities that exists in today's distressed markets. Rialto has continued to grow, and Jeff will update you on that progress in a minute. All in all, we're very comfortable with our current position, the current position of Lennar today. We know that market conditions remain difficult and we do not believe that there's a silver bullet, quick fix out there. Accordingly, we’ve positioned ourselves to remain profitable while the market corrects and positioned to benefit from strong operational leverage when the market starts to improve. Our willingness to confront the reality of market conditions honestly and early has enabled our company to make the necessary adjustments to get to profitability in the short term while we strategically position our company for future success. Jeff?
Jeffrey P. Krasnoff: Thanks, Stuart, and good morning, everyone. Before Bruce reviews the details behind Rialto's $5.7 million of operating earnings, along with the results of the rest of the company, there are a few areas that might be helpful to touch on to give a little bit more perspective on Rialto. The economic turmoil and wild market swings in recent months have not altered Rialto's investment thesis, and if anything, has strengthened our belief that banks and other financial solutions must push to clear hundreds of billions of dollars of distressed real estate assets from their books in order for the system to return to financial health. Therefore, we believe that the opportunity to purchase distressed assets is as strong, if not stronger than ever. And we remain focused on evaluating, and if we can continue to price advantageously, acquiring distressed portfolios and other real estate assets through our Rialto real estate fund. Market volatility has also been responsible for preventing us from having our most profitable quarter yet as a result of the $10.1 million unrealized loss related to our share of the mark-to-market on the mortgage-backed securities in our PPIP fund. However, those marks, as required by U.S. Treasury, reflect more of the general sentiment in the marketplace related to fixed income assets. We've not changed our view of the resilient underlying cash flows that we use to underwrite and price our PPIP investments. In fact, to date, we've recognized approximately $20 million in interest income and fees related to our $68 million investment in and management of that fund. As Stuart mentioned, we've expanded the amount of outside capital to work side-by-side with our $75 million now that we have a total of approximately $600 million of equity committed to our Rialto real estate fund. Based on our current and anticipated investments, we believe the fund will not only help to enhance the company's returns and give us access to transactions that we might not otherwise be able to invest in, but also will be an important building block for us to develop a first-class investment management business. The fund has now been able to acquire or tie up a total of 17 different negotiated transactions, exclusive of those we're in a process of adding to the fourth quarter pipeline. We've invested over $300 million of fund equity to date to acquire almost $1 billion of unpaid principal balance for about $0.37 on the dollar. On the operations side, we continue to build an outstanding team of professionals, which has now grown to approximately 175 associates across the country involved in transaction sourcing and due diligence, loan workout, property management, development and sales, investment management and finance accounting and administration. We've been hard at work adding value to assets since we closed our first 2 structure transactions with the FDIC in April of – well, we started in April of last year. In those 2 transactions alone, we've now collected almost $350 million of cash and have been up to the fees [ph] almost 1/3 of the outstanding $627 million of FDIC seller financing. And while it's still early in the life cycle of these 2 portfolios, resolutions to date have averaged approximately $0.80 on the dollar. Our managers have been working out loans and dealing with a variety of underlying collateral, including residential communities and land, shopping centers, office buildings, hotels and industrial buildings in micromarkets across the country, and with many borrowers that we've dealt with before. As a result, we have up-to-date proprietary information about how assets are currently being resolved, which is extremely helpful when pricing new transactions. And because of the high percentage of loans made to developers being able to efficiently incorporate the Lennar homebuilding team's unique view and expertise gives us another distinct advantage in our evaluation and maximization of value for these assets. And as part of this active collaboration, the Homebuilding divisions continue to capture distressed opportunities from the same institutions we've been working with on the portfolios, providing a great mechanism to generate new communities at extremely attractive pricing. In addition, when we do purchase assets at our pricing, we're positioned to very quickly and efficiently bring those assets right into our already in-place workout machine. So all in all, we remain very excited about the Rialto franchise, our current position in the marketplace and the synergies with the rest of the Lennar team. And we look forward to reporting to you our progress in future quarters. Thank you.
B. E. Gross: Thanks, Jeff, and good morning. This is Bruce. I will review the results in all 3 segments, starting with our Homebuilding segment. Revenues from home sales were $700 million, which is consistent with the prior year's quarter. Home deliveries, excluding joint ventures, decreased 3%, offset by a 3% increase in average sales price to $247,000. The average sales price by region is as follows: The East region was $233,000, up 9%; Central, $223,000, up 2%; Houston, $229,000, up 3%; West, $303,000, down 2%; and the Other region, $268,000, down 2%. Our gross margins on home sales was 21.1% in the third quarter, which is consistent with the prior year's gross margin percentage. However, it improved 170 basis points sequentially from the second quarter of 2011. This margin improvement is largely attributable to the successful results from investments and communities purchased since 2009. These communities have outperformed the company average gross margin percentage by over 200 basis points. Additionally, as Stuart mentioned, our efficient Everything's Included program and continued product reengineering also contributed to the strong gross margins. The gross margins were strongest in the East and West regions this quarter. Sales incentives increased by $3,000 from the prior year's quarter to $33,600, however, decreased approximately $300 sequentially from the second quarter. Gross margins were benefited by 120 basis points relating to changes in cost to complete estimates for closeout communities, which was offset by valuation adjustments that impacted the gross margin percentage by about 130 basis points. The benefit from the cost to complete in these closeout communities were primarily related to reimbursables received from development districts. Our SG&A percentage increased 40 basis points from the prior year, however, improved 60 basis points sequentially from the second quarter of this year. As a result of the strong gross margin percentages and improvements in SG&A, our Homebuilding operating margins improved 240 basis points sequentially from the second quarter to 6.8%. We purchased approximately 3,200 well-located home sites in the third quarter, totaling approximately $182 million. Additionally, we purchased $66 million of banknotes that are secured by real estate in A+ locations. Although we continue to invest in new communities and we opened 29 new well-positioned communities this quarter, we had approximately 50 communities closing out. As a result, our active community count, which moves around from quarter-to-quarter, was reduced to 428 communities at quarter-end. In addition to new orders reaching the highest level in 5 years other than the tax credit period in early 2010, our homes in backlog at the end of the quarter increased to the highest level in 3 years. Our cancellation rate for the quarter was 20%, which is still at the low end of our -- what we would call our normal range. Our Financial Services business segment generated operating earnings of $8 million versus $6.8 million in the prior year. Mortgage pretax income was $7.4 million versus $7.0 million in the prior year. During the quarter, we successfully entered into a global settlement with one of the 3 large banks that purchased the vast majority of our mortgage originations. This settlement was within the accrued liability on our books for potential mortgage put-back exposure and covers all potential claims on loans originated before 2009. We are comfortable that the remaining mortgage put-back liability on our books is adequate. Our title company generated $1.3 million of profit versus approximately breakeven in the prior year. They returned to profitability by implementing additional cost savings initiatives throughout the quarter. Our Rialto business segment generated operating earnings totaling $5.7 million, and this number is net of $6.1 million of net earnings attributable to non-controlling interest. The composition of Rialto's $5.7 million of operating earnings by type of investment is as follows: $5.3 million of contribution came from our 40% share of the FDIC portfolios; $11.8 million from non-FDIC portfolios; as Jeff mentioned, we had a loss in PPIP, it totaled $7.6 million; and $1.4 million as a new contribution from the Rialto real estate fund. These numbers are less approximately $5.2 million of G&A and other expenses, which are net of management fees and reimbursements of $5.3 million. The contribution from the FDIC portfolios of $5.3 million and the $11.8 million of contribution from the non-FDIC portfolios this quarter are primarily from accretable interest income, collections from guarantors, sale of REO and gains upon foreclosures of REO, all net of REO expenses. The PPIP loss for the quarter is comprised of $10.1 million of unrealized loss due to mark-to-market adjustments from the widening spreads discussed by Jeff, partially offset by $2.5 million of interest income. Our 15% interest in the Rialto real estate fund generated approximately $1.4 million of profits, which is in addition to management fees highlighted above. At quarter-end, there was already $190 million in the defeasance cash account to retire debt in the FDIC portfolio. Additionally, there was $70 million of cash on Rialto's balance sheet. The success of the Rialto real estate fund has enabled us to grow Rialto using third-party capital. During the quarter, the company didn't invest any new capital in the Rialto segment, except for $35 million representing our share of the Rialto fund commitments. In the third quarter, we continued to maintain a strong liquid balance sheet. Our leverage remained low as our Homebuilding debt to total capital net of the $800 million of cash was 46.6% at the end of Q3. Inventory, excluding consolidated inventory not owned stayed flat at $3.9 billion. Shareholders’ equity increased to $2.7 billion, with the book value per share amounting to $14.28. This book value per share does not include our fully reserved Deferred Tax Asset, which is currently at $593 million, or $3.17 per outstanding share. In conclusion, we are pleased with our continued reporting of quarterly profits. And given current market conditions, we remain confident that we will remain profitable in our fourth quarter and for all of 2011. With that, we will open it up for questions.
Operator: Our first question is coming from Alan Ratner of Zelman Associates.
Alan Ratner - Zelman & Associates, Research Division: Stuart, I was hoping to just expand on your comments which were pretty encouraging about the traffic that you've been seeing improving lately. And that certainly seems counter to what we're hearing from a lot of the other macro data points, whether it's consumer confidence fading or the stock market continuing to languish here. So was curious if that's something that has continued through August, which is kind of a meat of the, I guess, the economic turmoil we've seen, and into September? Or if that was kind of more in the first part of the quarter? And maybe you did see some impact from what we're seeing in the stock market recently?
Stuart Miller: Well, listen, let me say generally, the answer is we're still seeing building strength in terms of people coming in, looking and having an in-earnest desire to be a purchaser. But given the economic turmoil, it's certainly kind of a rocky ground right now. But I think that the trend is generally in the upward direction. I think that market forces are working the way they're supposed to, in that these low prices and low interest rates are really piquing peoples' interest and getting them to think about the long-term cost of their living conditions. Rental rates going up is getting people thinking about the value of the 30-year fixed rate mortgage, particularly at today's interest rates. And we're clearly seeing people come in that are rethinking the home purchase opportunity. Let me just have Rick or Jon weight in on that. I apologize, we're not in the same room, so either one.
Richard Beckwitt: A little bit -- this is Rick. As we got to the August, the month of August in the quarter, we saw a little bit of a slowdown on a year-over-year basis because of the volatility in the markets. But that's just in conversion. But traffic has been strong and continues to be pretty upbeat.
Stuart Miller: Go ahead, Jon.
Jonathan M. Jaffe: As you see rental rates push up, which we've seen in all the markets that we're in, we're definitely seeing more of our consumer come out and realize the value of today's product offering. And I think that's what Stuart was speaking to in terms of those positive trends, and that's against the forces of both the economic news and the credit environment we're in, we are seeing a pique in interest.
Alan Ratner: Great. And Bruce, just a follow-up on the disclosure you gave about the settlement on the putbacks, what was the cash impact on that from the quarter, or is that something that you're going to be paying out in the fourth quarter? And is there anything in the works for, I guess, the other 2 large banks that bought the bulk of your mortgages?
B. E. Gross: So you will see, when we file our Q, you'll see that our liability has come down from about $9.9 million to about $6.8 million or so, so just over $3 million for one of those 3 majors. And we're talking to the others as well. And we'll keep you posted on that. But that cash did go out during the third quarter.
Alan Ratner: Was this one, just directionally, was this the largest of the 3, the smallest of the 3?
B. E. Gross: Well, let's put it -- we have a confidentiality settlement agreement. So let's leave it at, it's one of the 3 majors that were out there. But again, we've really vetted our reserve that we have out there. We think that we reserved adequately and whether we settle on a global basis or not, we're still very comfortable with the remaining just under $7 million that we had reserved for these putbacks.
Stuart Miller: And just to your question, we are having active discussions with the others. And we feel pretty good that we'll be able to resolve this comfortably.
Operator: The next question is coming from Stephen Kim of Barclays Capital.
Stephen Kim - Citigroup: So congratulations on the homebuilding side; I’d love to ask you some questions there. But let me start with, if I can, with Rialto. It looks to us like in the Rialto segment, the -- your REO gains were probably running about half of where they were the last couple of quarters, I just want to confirm that that's true. And if so, what is the primary driver for that?
B. E. Gross: Yes, the Rialto gains were driven primarily by the category of -- in REO, there's gains upon foreclosures, Steve, there's collections from some of the borrowers. There's some sale of REO. And those are net of REO expenses.
Stuart Miller: Right. Yes, and some of those expenses, as we've taken more real estate in, some of the expenses have continued to ramp up as you bring some of those assets on board and bring the assets up to snuff or you pay the property taxes or whatever the case might be. And it's also a mix, too, of which assets might have come in that month.
Stephen Kim - Citigroup: Okay. So did you have a -- I know you guys don't account for or you don't assume you're going to get any collections from the borrowers. But last quarter, I think you did. Did you guys have any of that kind of benefit in the quarter?
Stuart Miller: Yes, yes, we did. Yes, we are continuing to collect from the borrowers even after the real estate has been taken in.
Operator: Our next question is coming from Dan Ippenheimer (sic) [Dan Oppenheim] of Credit Suisse.
Daniel Oppenheim - Crédit Suisse AG, Research Division: Stuart, early on you were talking about the tough mortgage environment with a greater understanding and number the government in terms of just challenges. Are you expecting any real changes from government potentially easing of mortgage terms? I guess, we wouldn't -- aren't -- weren't expecting so much along those lines, but I'm curious to hear your thoughts there.
Stuart Miller: I will tell you, Dan, it's hard to handicap. All I can tell you is that the discussions that are taking place are with piqued interest. There's a lot of attention being paid to housing thinkers and leaders. There's a lot of receptivity to some rethinking of government’s pullback from FHA, VA, Fannie and Freddie. Even with the pending reduction in loan limits, there are active discussions right now as to whether or not October 1 should come and go and see those loan limits reduced. And I can't handicap whether something will change before then or not. But it is interesting to watch the dialogue. People are getting concerned, particularly within the election cycle, that a continued slide in home prices and increase in foreclosure as we've been seeing will reflect badly, frankly, on both parties. And I think that there is an appetite to find a way to stabilize. There are some that believe that the private sector is the only answer and the right answer. But that is a growing minority, meaning it used to be the majority of people felt that way. I don't know how to handicap it, but my sense is that the government is going to find a way to loosen some of the lending standards that have gotten so oppressively difficult. And I think that the first answer in credit is going to come from the government. And then ultimately, we'll see some regulatory certainty creep in to enable a private solution to take shape. But I do feel that the government is going to come around to finding a way to get the lending markets working again.
Operator: The next question is coming from Michael Rehaut, JPMorgan.
Michael Rehaut - JP Morgan Chase & Co, Research Division: First question, it was helpful to discuss the community count during the quarter, and I was wondering if you could just remind us what that impact was in terms of average community count open on a year-over-year basis for 3Q '11 over 3Q '10? And going forward over the next few quarters, do you expect community count to resume its increase?
Jeffrey P. Krasnoff: Let me answer, Mike, your first question. I don't have an average, but again, let me remind everybody, the way we define active community count is 5 or more remaining to sell in a community. We started the quarter with 449, we ended with 428. In the prior year, we ended with approximately 448 and we started with a lower number. I don't have an exact average for you, however. As in the past, we didn't report community count for a while because it's always a little confusing. You have some communities finishing up at a moment in time and some starting. We do expect, because we're investing in communities that we're excited about, that the overall community count will increase. But we can never anticipate exactly how many fall off in any quarter, that's why we don't give a projection as you look forward. Hopefully that's helpful.
Michael Rehaut - JP Morgan Chase & Co, Research Division: No, that is helpful. The second question, just looking at the gross margins, it was helpful to explain the cost to complete benefit. Just wanted to clarify and make sure that, that's more of a -- what you'd consider a one-time benefit. And also kind of looking forward, the -- do you expect a higher contribution from the newer communities that you've purchased, or do you see the 19% to 21% range, or 20% to 21% range that you've exhibited in the last several quarters to continue?
B. E. Gross: Sure. The range that we've put out there previously, 19% to 21%, when you strip out the -- and I would call it a nonrecurring benefit of 120 basis points relating to those closeout communities. We ended up at the high end of the range. But I think it's fair to say that 19% to 21% is still the range that we look towards, same as we said last quarter. As far as the percentage of new communities that are contributing to our deliveries, it's in the high 30s, it's about 39% of our deliveries are coming from the new communities. We expect that, that percentage continuing to gradually increase each quarter, so expect that number to continue to grow. And we're seeing about 200-plus basis points gross margin above the company average from those newer communities.
Stuart Miller: Let me just invite Rick or Jon to weigh in on community count and margin from new communities.
Richard Beckwitt: Yes, this is Rick. As Bruce said, we're getting tremendously strong margins in the new areas. A lot of these communities were -- have been around for a while and new communities could be something that's been open for, let's say, 18 months. Depending on the size of the community, that community could have been closed out because some of these deals came in through the TOUSA deal. But generally speaking, the underwriting standards that we've had for the new communities are in the 20%-plus gross margin area; high, high IRRs, and they perform extremely well. As the markets have stabilized, it's allowed us to bring into production some of the older assets, and those are starting to get some traction as well.
Operator: The next question is coming from David Goldberg of UBS.
David Goldberg - UBS Investment Bank, Research Division: First question, Stuart, you made a comment in the opening remarks, and if I heard it correctly, it was that the average FICO score of your FHA-approved loans was in the 700s and there were a number of rejections, I think you maybe said the average rejection was at a 640 or 650 FICO. And I'm wondering if we should take from that, that banks are tightening – FHA-approved lenders are tightening standards further from kind of the 640 to 650 range, or maybe there was something else that was going on in those loan applications that caused them to get rejected? I'm just trying to get more color on that.
Stuart Miller: Yes. That's a good question, David. Anytime you look at a group of loans, there are so many different elements that define the approvability of a loan, and isolating just the FICO store doesn't tell the whole story. But generally speaking, the answer is that there has been a tightening. It has been gradual and it has been continuing. And it's coming, frankly, both from FHA, VA and being distinct from Fannie and Freddie, and from the FHFA regulator, who oversees Fannie and Freddie as well. And then the banks have overlaid their own credit tightening. So the answer is there has been a tendency to continue to tighten and the rejection, which we've seen at about 20% of people who have a deposit, are ready and willing, have a good FICO score in the 650 range, just is really evidence that the market is really tough, that the lending standards have really constrained demand and maybe gone too far.
David Goldberg - UBS Investment Bank, Research Division: Got it. Maybe we could stay on the mortgage market for a follow-up, and thank you for that color, it's very helpful. Stuart, you're talking about private lenders and the private lender market eventually reemerging. And I'm trying to get an idea, do you think this is more a question of lenders, private lenders working through the REO they already own? Or is this more of an indemnification from putbacks, is it Dodd-Frank, kind of QRM, QM? What you think is kind of the linchpin for getting more private lender activity back into the market?
Stuart Miller: Well, I think that as it relates to the legacy assets, most of the private lenders have marked their assets and -- at least on the residential side. And that's less of a contributing factor. I think that the dominant factors are the putback risk of the lawsuits, the risk retention rules and the Dodd-Frank rules that are not yet clarified. The lenders are dealing with a complicated landscape that is also in part defined by the FDIC regulator coming in and looking at their book of business, and being either critical of what falls in or what falls out to their capital requirements. So it's a whole -- it's a group of tentacles of problems that are kind of dragging the traditional lenders away from any kind of aggressive role in the lending environment. And I know that there’s a general sense that, hey, it's good not be an aggressive lender, it's good to be risk adverse and stuff like that. But the question is, are we going to have a lending market where people can get loans for homes, or are we going to pullback so dramatically that we limit demand and the market can't correct itself? There's a balance there. And the private market isn't ready to make that first step. It's probably going to have to come from the government.
Operator: The next question is coming from Mr. Josh Levin of Citigroup.
Josh Levin - Citigroup Inc, Research Division: Stuart, the Obama administration is mulling over an idea to have the GSEs partner with the private sector and perhaps rent out the GSE’s inventory of foreclosed homes. Given how opportunistic you and Rialto have been, is this an avenue that Rialto might go down?
Stuart Miller: Well, we -- it's a possible avenue. We've talked about it, and we've articulated some positions with people in the government who are thinking about this avenue. It's, again, something that as more color and definition comes out as to what the opportunity looks like, we will certainly be considering whether we deploy Rialto assets in that direction. In terms of whether it's a good idea or a bad idea for the economy, we're a supporter of this and many other initiatives that are focused on bringing supply and demand in balance. So with the legacy portfolios of Fannie, Freddie, FHA, VA and the backlog of homes that they own, it certainly is a good way to drive some income to the government. So we'll just have to see what happens and see how we can participate.
Josh Levin - Citigroup Inc, Research Division: Okay. On a separate note, Bruce, it looks like you burned about $145 million of cash during the quarter. I mean, burn is a wrong word, but what was the reason and what was the real use of cash during the quarter?
B. E. Gross: Yes. So almost all of that, Josh, was related to 2 things: acquisitions of new communities, again, these are well-located communities that we're excited about; and then other half is the purchase of some of the banknotes that I mentioned a little earlier that again are secured by what we would call A+ locations. So we think it's appropriate as we're very efficient with managing our cash. Yet Rialto that's recycling cash, most of their investments are coming from third-party capital. This quarter, the only investment we made in Rialto was related to our contribution to the fund. On the Homebuilding side, our cycle time is efficient. Our Everything's Included program, we're recycling capital there as well. So really, the change in cash is really focused on new opportunities that we're excited about.
Stuart Miller: Yes, and let me just say, Josh, I'm happy that you corrected that vocabulary misstep. This is anything but burning cash. We're really pretty enthusiastic about the deployment of capital to grow the future of our business. We think that we're investing our capital right now in primarily the Homebuilding business. Rialto is self-sustaining at this point. And we think that the opportunities that we're investing in are -- we know that they're contributing to current profitability, but we're perhaps most enthusiastic about what these investments mean for the future. And we've been very creative in the way that we both access and the way we've structured these investments. We think they're going to hold us in good stead in the years to come.
Operator: The next question is coming from Steve Stelmach of FBR.
Steve Stelmach - FBR Capital Markets & Co., Research Division: You mentioned strategic land acquisitions and sort of dovetails with the prior questions, to what extent are land purchases today influenced by loan level pricing adjustments by the GSEs? Or do you simply look beyond that for a day where financing overall just gets better? In other words, are you avoiding some markets that are subject to loan level pricing adjustments where the borrower simply just can't get the financing?
Richard Beckwitt: This is Rick. I don't think we're avoiding markets. We may be steering away from various price points because of the difficulty of the borrower to get financed at certain levels.
Steve Stelmach - FBR Capital Markets & Co., Research Division: Okay, but it’s not dissuading you from any particular markets, okay. And then secondly, on Rialto, I believe you mentioned selling some assets at FDIC, assets at $0.80 on the dollar. To what extent is that low-hanging fruit? In other words, the resolutions reflect the things that are relatively easy to sell versus maybe just mix shift and perhaps timing?
Stuart Miller: Yes. Again, that's over the first 18 months. But to a large degree, it's very early in the cycle. So yes, we do have a lot more assets to work through. But we're feeling very good early on in terms of where we are with the portfolio. And additionally, I'd say that there's very little in the way of low hanging fruit in these portfolios. It's distress is distressed because it is distressed. And I think that across the board, you're going to see a pretty steady resolution pattern. Some of the first resolutions have been some of the most difficult. So I think you can expect to see some consistency.
Steve Stelmach - FBR Capital Markets & Co., Research Division: Okay. So as shouldn't see some significant changes in the economics going forward? You feel pretty good about the value that you’ll monetize going forward?
Stuart Miller: Yes, I think that as with anything in today's world, there can be some choppiness. But by and large, our program of resolution is a program of process. And it's a process that is carefully laid out. It takes time, but ultimately leads in a carefully constructed direction. I think that process will work on -- across the portfolio.
Operator: The next question is coming from Nishu Sood of Deutsche Bank.
Nishu Sood - Deutsche Bank AG, Research Division: I just wanted to follow up on the cash flow, the cash position. Clearly, you folks have a lot of investment opportunities ahead, as the housing market continues to recover and obviously on the Rialto side as well. So given the significant increase in stress in the credit markets, I just wanted to get a sense of your thinking on your cash position and how low would you be willing to run your cash balance and financing strategies for that growth?
B. E. Gross: As we were saying a minute ago, Nishu, we think given our efficiency that it's appropriate to invest some of that capital in some of these great opportunities that we're seeing. So we think there's a range of probably $300 million to $500 million of cash that we'd want to keep on the balance sheet in any one quarter, and of course, that's dependent on things like maturing debt and the like. But we've done a nice job of pushing out debt maturities and we'll continue to do that. So with that assumption, we think somewhere in the $300 million to $500 million range is probably about the right level.
Stuart Miller: Yes, let me just add to that. Look, I think Diane does an incredible job of keeping us focused 3, 4, 5 quarters ahead of where we are. Our cash management program is really carefully orchestrated. And we're constantly looking at how we're operating our businesses in terms of cash coming in, cash going out. As we've noted, Rialto, which has been a question mark for a lot of people to how many dollars we'd invest and everything. It's really become self-sustaining, the Rialto operating or opportunity fund has really become the primary investment reservoir for Rialto. And that affords us a great opportunity to be a participant in the market, but still holding our cash position steady for the overall company. On the Homebuilding side, given our cycle time and our focus on operational excellence, we're really bringing in a lot of cash from the sale of homes from the underlying land relative to those sales and profitability and redeploying that capital. And while we are deploying excess capital into the Homebuilding side, it's on a very carefully constructed basis.
Nishu Sood - Deutsche Bank AG, Research Division: Great. That’s very helpful. And second question I wanted to ask was, you -- and a couple people have asked about, you mentioned the slow return of some normality and some improvement in demand. So just wondering, the 11% order, year-over-year order comp, especially against the very, very weak period post the tax credit last year, doesn’t seem as strong as it might have been. Now of course, I have to contrast that with your gross margin, which was very strong. So maybe this quarter, you chose to harvest more of the demand on the margin side, holding tight on pricing. I was just wondering if you could give us your thoughts on that and on the trade-off and what you're seeing out there and how you’re managing it?
Richard Beckwitt: Well, this is Rick. We're constantly adjusting the pace of sales with the ability to increase pricing in the communities that we're selling homes in. On a longer-term basis, we get more upside by pushing pricing up and pushing volume, because it allows us to increase margins and does wonderful things for some of our older communities, with regard to increasing appraisals. Each one of the communities has their own business model. And as such, we may be doing one thing in one community on a volume basis and another thing in another community based on sales price.
Jonathan M. Jaffe: This is Jon. I would add to that, that across the country-wide it varies from market to market slightly. Most markets are performing at about 1/2 a sale a week per community. And I think the reality is there's not a lot the homebuilding industry can do to change that level of absorption. So we stay very focused on maintaining the margin and maintaining that level of absorption, which is consistent with what's going on in the overall environment. And that keeps us really focused on that efficiency that you've heard us talk about on managing our costs and our cycle time so that we can really cycle the cash, keep margins up, but be realistic about where absorptions are occurring in the current economic environment.
Operator: The next question is coming from Jade Rahmani of KBW.
Jade J. Rahmani - Keefe, Bruyette, & Woods, Inc., Research Division: A question on Rialto, can you give any color on how the PPIP mark-to-market loss was distributed through the quarter? Since this quarter does include the month of June where we saw a lot of volatility in MBS prices, was the bulk of the decline in that month? And how have things fared in July, August and also since the calendar quarter end?
B. E. Gross: Well, in terms of which months in the quarter, basically, June and August were the 2 large down months. Actually, August was down more than June was. The month of July was relatively flat. In terms of comments about this quarter, I think it's a little bit too early at this stage of the game to kind of give you any kind of guidance as to where we are in terms of marks this quarter so far.
Jade J. Rahmani - Keefe, Bruyette, & Woods, Inc., Research Division: And would you mind giving some measure of the magnitude of performance decline you saw in June and August? The percentage price decline in CMBS or non-agency RMBS?
B. E. Gross: Actually, I don't have that percentage handy. I think August was down somewhere in the 5% to 5.5% range, something like that.
Jade J. Rahmani - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. And your comments indicated that the mark was based on more like general industry trends rather than underlying cash flow performance on the securities. So are these securities marked merely based on indices, and is that really what drove the mark-to-market?
B. E. Gross: Yes, it's more based on indices than anything else, because there really have been very -- relatively few trades, particularly of the securities that we own under PPIP. So it's really been more based upon how the rest of the RMBS and CMBS market have traded and how fixed income in general has traded and not so much a lot of data points on specific bonds.
Stuart Miller: And our cash flows have remained consistent.
B. E. Gross: Right, and cash flows have remained consistent in terms of how we underwrote versus what we're looking at today.
Operator: The last question is coming from Adam Rudiger of Wells Fargo Securities.
Adam Rudiger - Wells Fargo Securities, LLC, Research Division: I was wondering if you could talk about the new communities a little bit more. You said that on average, about 200 basis points outperformance in the gross margin side. I was wondering if you’ve seen a difference between timing, say, the communities you opened -- you've acquired during the last 2 years, and I'm asking that from the perspective as it seems that some builders got too aggressive in bidding for land in the beginning of last year and some of those communities are underperforming. So I was wondering if there was any kind of trend almost by vintage within the last 2 years of performance?
Stuart Miller: Rick?
Richard Beckwitt: Yes. If you look at it, we're not seeing any kind of dramatic change. All of these things were underwritten. If you look at the volume of activity that we did over the last 12, 18, 24 months, I think you'll see if you look at the cash flow going out and land acquisitions that we sort of stepped away from the markets when it got a little frothy and then moved back in when they cooled back down and took advantage of people stepping away because of their aggressive tactics during those time periods. But across the board, regardless of the vintage 24 months ago, 18 months, last 3 months, that 200 basis point spread is pretty standard.
Adam Rudiger - Wells Fargo Securities, LLC, Research Division: Okay. And then 2 other kind of housekeeping questions, can you give me your owned and optioned lot count? And then just backing into the impairments, based upon your commentary for gross margins suggests about a $9 million impairment this quarter, I wanted to make sure that was right.
B. E. Gross: Sure. Starting with the home sites owned and controlled, there were about 107,000 owned and controlled, of which 91,000 were owned. And the impairments from a homebuilding perspective, homebuilding communities was about $9.7 million.
Stuart Miller: Okay, that wraps it up for us. Want to thank everybody for joining us. Just in summary, we're really very comfortable with the positioning of all 3 of our segments right now. Current profitability, operating leverage as the market starts to come back a little bit. And when that'll be, that's up for grabs. So thank you for joining us, and we look forward to reporting next quarter.
Operator: This will conclude today's conference. All parties may disconnect at this time.